Operator: Welcome to the ICF International Second Quarter 2016 Results Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards you will be invited to participate in the question-and-answer session. [Operator Instructions] As a reminder this conference is being recorded on Tuesday, August 2, 2016 and cannot be reproduced or rebroadcast without written permission from the Company. And now I would like to turn the program over to Lynn Morgen of MBS Value Partners. Please go ahead.
Lynn Morgen: Thank you, Vanessa. Good afternoon, everyone, and thank you for joining us to review ICF’s second quarter 2016 performance. With us today from ICF are Sudhakar Kesavan, Chairman and CEO; John Wasson, President and COO; and James Morgan, CFO. During this conference call we will make forward-looking statements to assist you in understanding ICF management’s expectations about our future performance. These statements are subject to a number of risks that could cause actual events and results to differ materially. And I refer you to our August 2, 2016 press release and our SEC filings for a discussion of those risks. In addition, our statements during this call are based on our views as of today. We anticipate that future developments will cause our views to change. Please consider the information presented in that light. We may at some point elect to update the forward-looking statements made today, but specifically disclaim any obligation to do so. I will now turn the call over to our ICF’s CEO, Sudhakar Kesavan, to discuss second quarter 2016 performance. Sudhakar?
Sudhakar Kesavan: Thank you, Lynn. And thank you all for participating in today’s call to review our second quarter results and discuss our outlook for the reminder of the year, in which we executed well across both our government and commercial businesses and built the foundation for potential earnings growth in 2016. Second quarter revenue growth was driven by an 8.4% increase in federal government revenues and an 8.9% year-on-year growth in commercial energy business. This growth continues to be supported by both strong state and local revenue comparisons and sequential improvement in commercial digital services revenues. In the federal space we posted solid year-over-year increases in each of our key markets, including energy and health, broadly defined, where ICF is recognized for its subject-matter expertise, proprietary analytics and implementation capabilities. Our trailing 12 months federal government revenues have increased at an average rate of 5.5%, supporting our confidence that we will see mid-single-digit growth in federal government revenues in 2016. This represents an important trend reversal, making 2016 the first year of meaningful growth in our federal business since 2012. Another area of substantial growth for us in the second quarter was our commercial energy markets business, the increasing number of advisory assignments that we have won, combined with our energy efficiency contract awards, have had to face [ph] some significant year-on-year growth this year and into 2017. The high single-digit growth in federal and commercial energy revenues was supported by another quarter of sequential revenue growth in commercial digital engagement services. Solid execution of existing projects, new client assignments and a growing pipeline of opportunities going to positive second half year-on-year comparisons. John Wasson will provide more details on this in a moment. Overall, we expect our commercial business revenues to grow at a double-digital rate in the second half of this year, resulting in mid-single-digit growth for the full-year or closer to high-single-digit as we include work done at commercial rates in energy and digital services to state and local government clients. In terms of profitability, our diluted earnings per share outpaced revenue growth by a factor of almost three in the second quarter, putting us on track to achieve full-year EPS growth that is in line with our guidance range even after absorbing the impact of special severance charges related to our international operations. We are going to celebrate our 10th anniversary as a public company in September and I wanted to take a minute here to reiterate our strategy over the last 10 years to grow our revenues and earnings. We have worked diligently to extend our advisory work to gain larger and longer-term implementation contracts. By playing a larger role in our client successes, ICF has grown its revenues and profits. Accordingly we have built our program delivery and technology capabilities as the way of implementing the advice we give to our clients. Over the last two years we have added capabilities to include an ability to help our clients engage with their customers and stakeholders in a very targeted way. This emphasis on engagement, through the acquisition of Olson is the recognition that all organizations, public and private, need to reach and engage with their citizens, consumers, employees and stakeholders and are doing so increasingly through with digital talents and technologies. Our analytics work helps us target the right customers and stakeholders and digital technologies help us deliver a message in the most cost-effective way. Using these technologies communicate and engage is a critical component of our strategy to broaden our implementation capabilities and make ICF even more central to the success of all of our clients. As we move ahead into the second half of this year and plan for 2017, we see ICF has having the domain expertise and program implementation tools, I mentioned above, to continue to capture our share of addressable government and commercial markets. Since the beginning of 2015 we have gained substantial revenue synergies from combining our digital engagement services with our existing capabilities and cross-selling into our commercial and government client base. These synergies, including important contract wins with the California Lottery, a Canadian utility regulator, a Western U.S. electric utility and on the federal government side with the National Institutes for Health and the Centers for Disease Control, today we are looking at opportunities that reflect demand from our utility clients, trends around the consumerization of healthcare and the U.S. government priorities around the adoption we’re merging digital technologies. We are confident in our ability to expand our digital engagement work and leverage this expertise across our entire client base. Our strategy has remained focus and consistent all these years. By expanding our implementation tool set, we continue to leverage our advisory work and increase the quantum of our implementation work. I will now turn the call over to our President, John Wasson to provide more details on our second quarter operating performance. John.
John Wasson: Thank you, Sudhakar and good afternoon. As Sudhakar noted, we executed well in the second quarter and had another solid quarter of announced new contract wins, which brought our trailing 12-month contract awards to $1.3 billion, representing a company-wide book-to-bill ratio of 1.13. Our business mix was the same as the prior quarter, U.S. federal government accounted for 49% of total revenues, commercial and state and local were 34% and 11% respectively of total revenues and international government accounted for 6% of total Q2 revenues. Second quarter revenues from our commercial clients, increased 3.5% year-over-year and as we expected showed considerable improvement over first quarter levels with an increase of 6.4% sequentially. Digital services and energy markets together accounted for 76% of commercial revenue, similar to previous quarters. This was a very strong quarter for our commercial energy markets business, comprised of both our energy efficiency and energy advisory work, which posted an 8.9% revenue increase, compared to last year’s second quarter. Key contract wins announced in the quarter included three programs with Kansas City Power and Light to support residential energy efficiency programs for a total, combined value of $11 million. Two contracts worth $4.8 million, to support environmental planing and safety for a major utility in the west and a $4.1 million contract with utility in the Western U.S. to provide social listening tools and other digital services. In last quarter’s call we mentioned that we had won over $200 million of energy efficiency work as of date of the Q1 call. Today, year-to-date total energy efficiency wins stand at over $300 million, while we have not been able to publically announce many of these contracts yet due to certain contract formalities, we have began work on part of the largest contract under an authorization to proceed and expect to announce it shortly. Our commercial energy advisory business also maintained its robust growth in revenues, sales and pipeline in the second quarter. The fast pace of change in power and gas markets is a positive for our business, as clients look for trusted advisors with market, technology and policy expertise. As also power crisis tumble, our team is helping distressed asset owners restructure and realign their portfolios to take advantage of low natural gas prices, electric and gas utilities are turning to ICF to help identify and support buying and building new gas infrastructure. And our integrated demand side resource practice continues to help utilities create great modernization strategies and meet the increasing demands of regulators seeking to enable the next-generation electrical network. Turning to ICF Olson, it showed modest to sequential revenue growth in line with our expectations, as we continue to see that business steadily improve. As noted in other release this afternoon, we won an $8.1 million contract to support digital communication and social marketing with a major healthcare company; a $5.3 million contract for customer loyalty with a Fortune 500 company; a $2.1 million contract for customer loyalty solutions with an international retailer and a $1.6 million contract to support website operations for a mortgage company. These wins highlight the broad range of services that ICF Olson offers clients in diversified industries. Last quarter, we mentioned a joint project that ICF Olson has undertaken with our energy practice, looking together on a multi-million dollar project for utility client on marketing, education, and outreach and communications to encourage conservation. ICF Olson leads the marketing and communications portion of the campaign and I’m pleased to report that the client has both expanded the scope of assignment and extended the term. In addition, we have recently been asked by them to submit our qualifications to become their agency of record. The ICF Olson pipeline continues to grow in key sectors, including financial services, hospitality and food services, lottery and distribution and retail. But it is also growing in energy, aviation and healthcare, which represent an emphasis on cross company collaborative bidding. To date this year, our largest new account wins have been collaborative [ph] across our commercial businesses. For instance, ICF Olson is collaborating with legacy ICF businesses on a number of sizable projects, including a large statewide utility marking campaign and the North American tourism marketing opportunity. Lastly, ICF Olson continues to pursue additional lottery opportunities and probably has seven of them in the pipeline. Revenues from U.S. federal government clients increased 8.4%, compared to last year’s second quarter and were up 8.2% sequentially from the first quarter, representing execution on over 1,000 contracts, across a broad range from a primarily civilian agency. Most notably, the Department of Health and Human Services, which includes the Centers for Disease Control and a National Institute of Health and the departments of energy, transportation and education and the Environmental Protection Agency. We had two very large wins with the Federal government in the second quarter. The first was a $65.7 million, five-year contract with a federal financial services agency to provide advisory and professional services to support the development of a business strategy, as well as manage existing and future agency programs and projects. The second was a single awarded task order of up to $60 million over 10 years with the National Institute of Environmental Health Sciences to whom which ICF will provide scientific and technical expertise to help manage scientific information and we would develop literature-based evaluations leading to environmental substances and other sources of public health insurance. This award taps ICF’s 30 plus years of experience conducting chemical safety and risk assessments to help federal clients make informed decisions regarding chemical safety, as well as implement measures designed to protect the public health. Other notable federal contract wins in Q2 included $11.2 million contract with HUD to support an integrated technical assistance and capacity building initiative; a $9.6 million contract, with the Social Security Administration to maintain and improve its security processes and over side of offices nationwide, an $8.4 million contract with Department of State to provide information planning and management services for the Bureau of International Narcotics and Law Enforcement. And a $4.8 million task order by the CDC, National Center for Injury Prevention and Control to oversee the development of a large scale targeted communications campaign designed to raise awareness about the risk associated with prescription opioid abuse. As part of this project, ICF will oversee the development and placement of digital and social media ads and maintain an active social media presence for the campaign, leveraging the significant qualifications and expertise that were designed in ICF Olson. U.S. state and local government revenues grew by 16.7% in the second quarter and were up 6.3% sequentially, reflecting a stronger start to the year than we originally anticipated. The increased level of state and local activity is driven by significantly higher pass-throughs and several infrastructure and environmental assessment projects, as well as state energy efficiency projects. We now expect our state and local business to grow by double-digits for 2016, primarily due to higher pass-through revenues. Moving lastly to our international business, while revenues were up 13.7% sequentially in Q2 they were down 14.4% from Q2 of last year. As we have discussed in recent earnings calls implementation of new projects within our largest client in the European Union have been delayed do to issues associated with the migration prices, security concerns and with the Brexit vote that occurred at the very end of Q2. Given these issues we are now forecasting our international business to shrink by high-single-digits during the second half of this year. We have taken steps to manage the cost structure of this business as evidenced by our severance charge this quarter. And we will continue to manage the business proactively through the remainder of the year. Let me end by providing you an overview of our business development performance and employee turnover metrics. Our pipeline was a record $4 billion at the end of the second quarter, after wining $620 million in awards in the first half of the year, the pipeline included 31 opportunities greater than $25 million and 71 opportunities between $10 million and $25 million. Finally, our year-to-date domestic turnover rate was 6.5%, which translates into an annualized rate of 13.1%. Now James Morgan our CFO will continue with the financial review. James?
James Morgan: Thanks, John. Good afternoon everyone. As anticipated, our second quarter results represent sequential and year-over-year improvement in both revenue and earnings. Revenue was $305.4 million for the quarter, an increase of $16.5 million or 5.7% over the last year’s second quarter, driven primarily by growth and work with the federal and state and local government clients and a pick up in revenues from commercial clients, particularly in energy markets. Service revenue increased 3.2% to $222.4 million. Gross profit increased in the second quarter of 2016 by $0.5 million, as compared to 2015. Gross margin decreased from 38.3% in the second quarter of 2015 to 36.4% in the second quarter of 2016, mainly due to a higher mix of pass-through revenues, primarily from government’s clients which negatively affected the 2016 Q2 gross margin by an estimated 60 basis points. And severance charges that reduced gross margins by about 30 basis points. And as expected and discussed during our last earnings call, the startup and implementation phases of certain contracts continue to impact gross margins in Q2. But we expect this impact to decline through the remainder of the year. Indirect selling expenses for the second quarter were $84.6 million, a $0.9 million year-over-year increase but a reduction as a percentage of revenue to 27.7% in this years’ second quarter from 29% in the second quarter of 2015. This reduction in direct expenses, as percentage of revenue, was mainly driven by year-over-year improvement in staff utilization. For the full-year 2016, we expect to continue effectively managing our indirect cost and selling expenses. Operating income was $19.4 million in the second quarter, up 3.3% compared to the prior year. Operating income was reduced in the second quarter by $1.1 million and special charges related to international severance and office closures. Without these special charges, operating income would have been $20.5 million in this year’s second quarter, up 9.4% compared to last year’s second quarter. Depreciation and amortization expense was $4.1 million, up from $3.9 million in 2015 second quarter. As expected due to certain intangibles from our prior acquisitions becoming fully amortized, amortization of intangibles decreased from $4.3 million reported in 2015 second quarter to $3.1 million in the second quarter of 2016. The effective tax rate was 37.2% for the quarter, compared to 39.1% in the second quarter of 2015. The 2016 second quarter effective tax rate was favorably impacted by true ups to prior year tax returns and state tax credits and the early adoption of new accounting guidance, referred to as ASU 2016-09, which relates to tax benefits for stock based compensation. The early adoption of ASU 2016-09 also retroactively impacted our 2016 Q1 effective tax rate, causing it to be reduced from the previously reported 37.6% to 36.3%. As a result, our previously reported 2016 Q1 diluted earnings per share increased by $0.01 to $0.51 per share. Through the adoption of ASU 2016-09 we now expect a full-year tax rate of no more than 38%. Net income was $10.6 million, an increase of $1.4 million or 15.4% over the second quarter of 2015. Reported EBITDA was $26.6 million for the quarter, inclusive of a $1.1 million special charges previously mentioned. And similar to the $26.9 million reported in last year’s second quarter. EBITDA margin was 8.7% for the quarter, compared to 9.3% for the second quarter of 2015. In aggregate the higher pass-through revenues and special charges reduced our 2016 second quarter EBITDA by approximately 50 basis points. We expect our EBITDA margin to be in the range of 10.5% to 11% for the second half of the year. And as a result, for the full-year of 2016, after considering the year-to-date pass-through revenues and special charges, we anticipate our EBITDA margin to be in the range of 9.7% to 10%. Reported net income was $10.6 million for the quarter or $0.55 per diluted share, compared to $0.47 in last year’s second quarter, an increase of 17%. Non-GAAP EPS which excludes amortization of intangibles, as well as cost related to severance for international staff realignments, office closures and acquisitions, was $0.69 per diluted share for the second quarter, as compared to $0.63 in the prior year, an increase of 9.5%. For the first half of 2016, we reported cash provided by operating activities of $15.7 million, a $10.7 million increase over the $5 million reported in the first half of 2015. Day sales outstanding for the second quarter were 74 days, as compared to 73 days at the end of 2015. We continue to anticipate the year-end DSO to be in the 72-day to 77-day range, including the impact of deferred revenues. Capital expenditures for the first half of 2016 were $9.8 million. We repurchased 243,117 shares year-to-date at an average price of $36.9 per share. As a result, we have more than achieved our previously stated intention to at a minimum make share repurchases in 2016 at a level to offset the dilution caused by our employee incentive programs. Per share guidance for 2016 assumes weighted average diluted shares outstanding of approximately 19.4 million. Additional full-year 2016 guidance for financial modeling purposes is as follows: as mentioned previously, we expect 2016 EBITDA margin to range from 9.7% to 10% for the full-year of 2016; we expect depreciation and amortization expense in the range of $17 million to $18 million for 2016; we expect amortization of intangibles between 12.3 million to 12.8 million or tax affected impact of approximately $0.40 per share. Full-year interest expense is expected to be in the range of $8.5 million to $9.5 million. And as I mentioned earlier, we expect the full-year tax rate to be no more than 38%. And full-year cash flow from operations is projected to be in the range of $85 million to $95 million for 2016. With that I’d like to turn the call back to Sudhakar.
Sudhakar Kesavan: Thank you James. We are pleased with our second quarter results and the improved visibility we have gained over the course of the first half of this year. As noted in today’s release, as a result of the higher pass-through revenues we had in the second quarter, we now expect that our full-year revenues have come in at the high end of our initial guidance range of $1.15 million to $1.19 million – $1.15 billion to $1.19 billion sorry. And we maintained our diluted EPS dilute range from $2.50 to $2.55 per share, included the impact of second quarter severance cost and our non-GAAP EPS range remains unchanged at $2.79 to $2.94. At the mid-point, we’ve guided metrics point to a year of strong performance for ICF in line with our initial expectations for 2016. As I stated earlier, we will celebrate the 10th anniversary of ICF’s listing on September 20 – September 20 of this year by ringing the opening bell at the NASDAQ. And that afternoon we’ll be hosting a meeting in New York for investors and analysts to interact directly with members of our executive leadership team to discuss the drivers of ICF’s future growth. Invitations will be sent shortly. We hope you will able to join us. Operator now I would like to open the call to question.
Operator: And thank you. We will now begin the question-and-answer session. [Operator Instructions] And we have our first question from Bill Loomis with Stifel.
Bill Loomis: Hi, thank you, good results. Sudhakar or James can you just clarify one thing on the second half revenues you said international revenues will shrink in the high single-digits in the second half, you talked about state and local will grow by double-digits in 2016. I’m just – I just want to make sure I’m talking – are you talking second half or you talking full-year 2016 when you talk about how each of the segments would grow? Thanks.
James Morgan: I can get through that. So looking at it from a full-year perspective it’s actually consistent on international government, we’re saying that’s its going to shrink in the second the high single-digits and for the full-year it will be down high single-digits also for international government Bill. And then on state and local, we’re looking at having double-digit growth for the full-year.
Bill Loomis: Okay. And then on the international why – how long obviously you expect high single-digit first of all what is the currency impact on that and what’s going to change, is it just going to be time, is there – what you’ve talked in the past about how election cycles have impacted work over there? Where do you see the horizon on when the business will turn internationally?
James Morgan: So I can talk to you real quickly about the currency impact. I mean, if you look at our currency impact on a year-to-date basis it’s roughly little over $1 million about $1.2 million and then we’re anticipating for the full-year that the numbers that we’re giving you with regard to the growth rates, it’s based on the exchange rates as of the end of July. So it takes into account what’s happened to the pound, subsequent to Brexit. And we have about another $2 million or so of impact associated in the back half of the year baked into our forecasted numbers.
Bill Loomis: Okay and then just the timing on what dynamics you expect could the international?
John Wasson: Sure. So this is John Wasson, Bill. I think as we’ve talked about in prior calls, I think we have seen slowness and activation of work with our largest client, the European Commission over the last couple of quarters certainly with migration crises, some of the security concerns. I would say in the last month we’ve seen that trend continue and are continuing to see slowness and even more slowness than we expected. Obviously the Brexit vote occurred towards the end of Q2. And so I think we’re thinking that for the rest of this year, we’re going to continue to see this slowness and activation and it’s certainly going to impact us in the second half of the year. We have some early indications from clients that things will start to ramp up later in the year and as we go into next year. But certainly things have been slow and have anything gotten slower in the last month in terms of activation of new work with the European Commission. So we’re monitoring it carefully but we’ve definitely – we’ve seen a slowdown. And so I think it’s slowing down, we’re hopeful as we get towards the end of year we’ll pick backup.
Bill Loomis: And the cost reductions on international that you are taking the charge for was that office closures or is it people or – can you detail that…
James Morgan: It was primarily people a small portion was office closures but it was primarily people in Europe.
John Wasson: Yes, right.
Bill Loomis: Okay, thank you.
Operator: And thank you. Our next question comes from Tim McHugh with William Blair & Company.
Tim McHugh: Yes, thanks. Just want to ask about the digital interactive space. I guess you give some good kind of anecdotal or various data points on it. But can you talk about the visibility to the improving trends in the second half of the year. And I apologize if I missed it in your comments, but just the different pieces and specifically I guess the brand piece for that is are you comfortable that that piece of legacy Olson is ramping backup still?
Sudhakar Kesavan: Sure Tim, I think the pipeline is strong it’s the strongest it has been over the last year or so. So given the high velocity of the work pipeline is a reasonable indicator, especially if you something in the pipeline it gives you a sense that – so the pipeline is a one indicator. And I think to answer your question on brand, as I had said, the run rate in the first half of the year is way ahead of what it was in the last half of the year, especially last quarter of last year. So I think brand is continuing to improve. And so we are optimistic that it will continue to do so in the rest of the year.
John Wasson: And I think I just add some to that, I mean Tim. I think some of the cross collaborative opportunities I talked about in my script both primarily in the energy space and in the lottery arena are benefiting or will benefit have benefited and will continue to benefit the brand business. And so I do think that we are, should be making progress on the pipeline for some material opportunities.
Tim McHugh: And I guess just a follow-up on that. Besides that and you talked about kind of cross-selling, has the market change – you sensed the market changed or do you feel like I know you’ve been spending time on just the sales approach and the sales model. I guess, what do you think is really working, I guess, or is it just getting back to what you would expect the business to normally perform at in digital?
Sudhakar Kesavan: I guess, I would say a couple of things. I mean I think we have brought in new talent into the business in the brand business and we bought in two, three, four senior staff. Well I think are making a difference and kind of building up the pipeline and driving the sales process. And then I think we are finding again in energy, in aviation and in lotteries that we can cross-sell and kind of marry either the subject matter expertise or our longstanding relationships in those industries with the Olson capabilities and cross-sell there. And so I think that’s also been an important part of improving the brand business and improving the pipeline.
Tim McHugh: Okay, great, thank you.
Operator: And thank you. [Operator Instructions] And our next question comes from Kevin Steinke with Barrington Research.
Kevin Steinke: Good afternoon. So good to see you increase the guidance for the federal government business to a mid-single-digit rate for the year. So I’m just trying to get a sense for what enabled you to increase that outlook. Is it just a matter of some of the new contracts that you discussed are coming in or are you going to help the growth or, I know you’d talked about some contracts winding down in the second half, I mean is that still what you expect? Is there any more color on the Federal government outlook would be helpful.
Sudhakar Kesavan: Yes, I will take a couple of things. And I think we can continue to see our civilian clients showing willingness to spend their budgets and begin new programs, begin new initiatives. And so I think, obviously the results are reflection of that. We continue to see significant proposal activity in the federal space. And so we’ve sustained and obviously increased a bit here in the second quarter, the revenue growth in the Federal sates after several quarters. And so I think given that and given that record we’re comfortable moving it to mid-single-digits. So it’s still, that guidance does assume that we ruled off, the couple of contracts we talked about in our call last quarter, there are a couple of contracts, we’ll rule off. And so that’s still baked into the guidance. But I think we’re comfortable given the general trends we see and the performance the business that we can achieve mid-single-digits for the year.
Kevin Steinke: Okay, that’s helpful. And the strength in state and local that you saw and the higher pass-through revenues, I assume those are – was that business that came through since you last provided guidance, and so is that something new or different that caused you to just tweak down the EBITDA margin guidance a little bit?
Sudhakar Kesavan: I would say on the state and local work, these were primarily kind of large implementation projects, high-speed rail environmental assessment a few state energy efficiency projects. And frankly we just had more intense efforts on those projects over the last quarters that have required us to use sub-contractors and have other pass-throughs in a more intense way than we planned. We don’t tend to make the same markups on pass-throughs as we do on business that we’re deploying our staff on. And so we certainly saw more pass-throughs and had more intensive efforts on this state level implementation contracts in Q2 and it does contribute to the slightly lower margins.
Kevin Steinke: Okay, that makes sense. And the energy markets business up 8.9% in the second quarter is that growth picking up a little faster than you expected? I think last quarter you talked about getting to double-digit growth in the second half of the year in energy market. So is that still kind of the expectation, I mean are we seeing things rollout as planned, a little more quickly than planned or just any comments on the nice growth in the second quarter and the outlook for the second half of the year?
Sudhakar Kesavan: I would say it’s generally rolling as planned although we have them on quite a bit of energy efficiency work as we’ve talked about this quarter and last quarter and our energy advisory work is really booming. And so we certainly expect to see very robust double-digit growth in the second half of the year. So if anything we become even more optimistic about our growth opportunities in the second half of the year in the energy space. It’s really…
John Wasson: Into next year.
Sudhakar Kesavan: Quite robust and given the visibility on energy efficiency into next year.
Kevin Steinke: Right, okay that’s good. And so digital services revenue up sequentially, can we still assume that it was down a little bit maybe year-over-year but still expecting to ramp to year-over-year growth in the second half, maybe kind of in that high-single-digit range.
Sudhakar Kesavan: Yes, I think that as you point out, Kevin it was down on H1 to H1 where we certainly expected to improve in the second half of the year, where the sequential growth will continue. So I do think that we will have sequential growth right through Q3 and Q4. So H2 should certainly better than H1 for our digital business.
Kevin Steinke: Okay, great. Well thanks for taking my questions.
Operator: And thank you. Our next question comes from Tobey Sommer with SunTrust.
Tobey Sommer: Thank you. Speaking of the momentum in the energy markets headed into 2017, do you see in front of you a steady or increasing amount of work to be bidding on as we look into 2017 and therefore – or is your comment more related to harvesting the new bids and the wins that you’ve already achieved so far this year?
Sudhakar Kesavan: Well, I would say we’ll certainly harvest the wins we’ve won this year and that was – it’s obviously going to drive the growth in the latter half of 2016 and into the first half of 2017. I would say we do still have a robust pipeline of energy efficiency opportunities. And so I think there are – there is a strong pipeline there that gives us confidence that we will win additional new contracts as we go into 2017 we can sustain quite strong growth there. And I just would say that again the energy advisory piece of the business is really quite strong. And if anything has been accelerating both around the issues we’ve talked about in the past, distribute energy resources, grid modernization, we are also seeing a lot of asset valuation and restructuring opportunities around some of the volatility commodity prices. And so some of that’s been litigation which tends to be quite profitable for us litigation support. So I think the trends on the advisory side are also quite good and give us what the pipeline we don’t quite as long visibility give us an advisory business the trends have been very strong – I think we really do a conference [ph] we can really drive growth in that business as we go into 2017 too.
Tobey Sommer: Thank you for that color, particularly on the advisory business. Just to make sure I have the numbers accurate, John did you say that year-to-date you have $300 million in new business versus $200 million.
John Wasson: $300 million of new contract awards where we’ve been year-to-date through this call. But we’ve been informed either we sign contracts or we’ve been informed that we’ve won environmental final contract negotiations.
Tobey Sommer: Okay.
John Wasson: And that was something $200 million.
Tobey Sommer: Okay, and that’s compared to the contract…
John Wasson: $200 million.
Tobey Sommer: [Indiscernible] over the last quarters?
John Wasson: Compared to the $200 million we discussed, I think, in our call last quarter.
Sudhakar Kesavan: Right.
Tobey Sommer: Okay. Thank you. Are the pass-throughs that you called out and I guess, discussed a little bit earlier, is that something that’s going to come up a little bit more in the business, is there some sort of change or is this really a one-off, because I don’t recall this being a common feature of your quarterly reports. Thanks
John Wasson: Yes it has not been a common feature, I mean, I think we are in – it’s a pretty intensive and higher than expected efforts on a few of these state and local contracts, which has driven this. And so, I wouldn’t call this a trend. I mean we’ve had one quarter of intensive and higher pass-throughs. I think we are thinking that will be somewhat higher for the rest of the year, but it won’t be at this level. And so I wouldn’t call kind of the intensity we’ve had in the second quarter the expectation going forward.
Tobey Sommer: All right.
Sudhakar Kesavan: There are no changes if you want to.
Tobey Sommer: No I get it right. James a question for you since I heard your voice.
James Morgan: Sure.
Tobey Sommer: Just the comment that you made about the tax rate of no greater than 38% for this year, is that a decent rule of thumb for next year as well, or is it too early to make a comment on that?
James Morgan: It’s a probably a little bit too early, but I would suspect that it is not going to be much different than where we started this year, where we said 38.5%. So it’s certainly not going to be dramatically different than that. We don’t expect it to be.
Tobey Sommer: And then from a broad perspective you – John I think you mentioned the turn over number is around 13% annualized domestic. What’s the spree to core like at the firm now that you’ve kind of seem to have reaccelerated growth and have an outlook because of the contract wins so that it sustains itself for a period of time. Would you expect that turnover maybe even to inch down a bit?
John Wasson: Well I would say, as we’ve discussed many times and I think our turn over rates tend to be some of the lowest in the industry, in our comparative group. Obviously I’ve talked about, we’ve talked about we have a strong culture. We’re a growth company we want to provide people opportunity. Obviously to the extent that we’re actually achieving all those results and growing more rapidly, but certainly be able to provide more opportunity, more interesting work for people. And so I think to your point it is a positive trend and it certainly helps us keep the turnover rates down that we’re accelerating growth. And frankly, certainly working on a lot of the leading issues of the day in the energy and other sectors we’re working. And so I think it certainly help keep it low, if not reduce it Tobey.
Tobey Sommer: Okay. Two last questions from me and I’ll get back in the queue. One relates to kind of bidding proposal dollars and activity with the revenue growth that you’ve got now in kind of with an eye towards fueling that momentum. Sudhakar do you feel like your spending enough on bidding proposal to keep the momentum as we ahead into next year?
Sudhakar Kesavan: Yes, one thing which we have never done is cut back on the bidding proposal activity. We basically, unlike some other firms, tend to be much more – we invest in on these [ph] amounts on bidding proposal. So I think we’ll continue to do that, we also as I’ve mentioned before continuing to strengthen our whole marketing and sale set up. We hired Colette LaForce, she joined us as the Chief Marketing Officer, she has a very distinguish track record of helping us set up our whole branding and generally helping us with marketing and sales broadly across the firm. So I think that’s something which we are investing in and we are brining other people onboard. So I think we are quite committed on making sure that we take the appropriate marginal dollar and invested in sale efforts. And as I’ve mentioned before on the commercial sales side we are also in the process of making sure that it works like a machine, as we think it does on the federal, and state and local side. So I think that we – and I think we are quite focused on that and on our brand. We will if you join us in September 20 in New York City, we would talk to you about how we are trying to make sure that we our brand more visibile. And what the brand story is and how that – and I think generally developing a brand I think is also going to help us going forward, given that we have some scale. And people talk about ICF as the biggest company they don’t know. So I think we want to hope to change that and make sure that that in itself has some elements of success in terms of business development, et cetera we think. So I think that we are quite focused on investing in the whole marketing sales and branding effort, with caution but with quite a bit of focus. So I’ve been guiding you to join up in September to hear about what we’ve done and we intend to do going forward.
Tobey Sommer: Okay. I’ll tick you up on that. Last question for me on the state and local government revenue up 17%, I guess it’s probably influenced by some of the pass-throughs that you talked about. So I don’t know how you could adjust for it exactly, but what kind of might an underlying rate of growth excluding or adjusting for some of those above average pass-through? Thanks.
Sudhakar Kesavan: I mean that’s a tough question. I mean I would say we’re basically saying double-digit growth obviously with the pass-throughs. I would say kind of maybe mid-single-digit growth to maybe high-single-digit growth without the pass-throughs.
Tobey Sommer: Okay, that’s helpful. Just looking for…
Sudhakar Kesavan: I mean the pass-throughs were certainly material this quarter.
Tobey Sommer: All right. Great, that’s helpful. Thank you very much.
Operator: And thank you. Our next question comes from Marc Riddick with Sidoti & Company.
Marc Riddick: Hi, good evening.
James Morgan: Hi, Marc.
Marc Riddick: I wanted to get a sense of the – on the digital marketing side if there was any historical seasonality to the business and if so is that something that you would expect to continue now under the umbrella of ICF?
Sudhakar Kesavan: Well, I think that the sense we have is that is actually the first quarter is a little slower than the other three quarters. So I think that it tends to be first quarter slower and then the others are pretty similar is my sense.
John Wasson: I think that’s right.
Sudhakar Kesavan: Based on what, I think usually what happens when people come back from holidays there’s less activity in the first quarter than is in two, three, and four in the calendar year. So I think that is a seasonality we’ve seen. It’s not much, but there is some of that.
John Wasson: I not – I don’t see a significant seasonality but like Q1 tends to be little slower, we’re getting our – retain or typically getting our retainers in place late in Q4 or late in Q1 for the next year.
James Morgan: That’s right. There is not a lot of variation beyond that.
Marc Riddick: Okay. And do you – is that some what similar as far as new contracts up for bid or new competitive opportunities should we view that as kind of middle of the year where a bulk of that would take place?
John Wasson: I mean again, I would say, it’s kind of typical to what we just described for the revenue. I mean we don’t see the same seasonality in the commercial digital business as we do in the government side where Q2 and Q3 tend to be a lot higher, both in terms of revenue and sales. Again, I would say that Q1 typically, we’ll get the retainers in place, its – other than that it’s generally slow for both on the slowest on revenue and bidding and then it kind of…
Sudhakar Kesavan: And I think Marc Q3 and Q4 perhaps will be the strongest in terms…
James Morgan: Yes, I think so.
Sudhakar Kesavan: Of new contracts and bids.
Marc Riddick: Okay. And do you get a sense that the governmental clients compared to commercial clients, when it comes to digital offerings, are you getting a sense of that behavior is somewhat getting to be somewhat similar, as far as how you’re working with them currently or are there meaningful differences that you are running to the maybe you either expect it or didn’t expect it to see when ICF Olson was brought in?
Sudhakar Kesavan: I think the governments plans tend to procure in very similar ways. They have changed some procurement processes where they have accelerated sort of challenges, they call them challenges. And you do some project very quickly and you bid on it. So I think they have changed a little bit with food stuff [ph] actually and they are trying to make it a little quicker. But I think broadly speaking the contracting mechanisms are very similar to our traditional work in the government space. And I think they procure digital in sort of broadly the same way with some a few twists, which we have seen. But I think generally their projects tend to be larger and longer than the commercial ones. And I think that they are – and what they are trying to do is make the process of acquisition quicker than what has been the case in the past. So there’s not a dramatic change, but there’s some change in that process. But I think the contracting mechanisms are – have stayed exactly the same.
Marc Riddick: Okay.
John Wasson: I would just add to it, this is John Wasson. I would say that we’ve been pleasantly surprised, quite pleased with the types of opportunities we’ve seen in federal space and around our digital world both from our legacy kind of marketing communications and digital oriented federal business and with the Olson acquisition additional skills and capabilities favoring into the company. And I think we’ve announced to settle those contracts over the last several quarters. We are still significant health focused veteran’s administration other. And we certainly are seeing some very nice opportunities in the federal government on the digital side.
Marc Riddick: Okay that sounds great. I appreciate, thank you very much.
Operator: And thank you. [Operator Instructions] And our next question comes from Bill Loomis with Stifel.
Bill Loomis: Hi thanks, just a quick on margins, on gross margins, so if you take the two adjustments and talked about James the pass-through impact and then the charge that impact the portion of one on gross margin that was 90 basis points, but still if we add that back, it’s still about 100 basis points lower than a year-ago. Why is that and what’s dragging that down?
James Morgan: Yes it’s really the biggest driver is what we talked about during Q1. And I mentioned it’s – we do have some fairly sizable implementation programs that started up in the first half of this year. Both I think kind of across the business some in the one-to-one business and quite a bit in our – we consider our business process outsourcing business that it had quite a bit of an impact on our gross margin, that’s really the largest driver. I would say there is certainly north of 50 bps associating with that probably close in the rage of 60 bps to 70 bps that’s what we estimate. So that’s the other big impact there. I will tell you that the implementation phases of those programs are the most part ended as of where we are at state today.
Sudhakar Kesavan: I’ll add, the implementation right – it’s really to startup phase.
James Morgan: It’s the startup, the startup phase of the work. And so that’s why we expect to see a pretty significant change in the back half of this year versus the first half.
Bill Loomis: Okay. And then what’s the international doing to the gross margin was that business declining at kind of what impact it have in the second quarter on overall and then now that you’ve cut some cost there based on still second half, what’s the kind of profitability is that international having at, at that level?
James Morgan: From a gross margin perspective and theoretically it shouldn’t have as much of an impact, I mean, if the work isn’t there then the individual shouldn’t be performing on the work and doesn’t impact gross margin where it does hit is below gross margin on profitability. But that’s where we are proactively taking the action to make sure that we allowing the staff to mitigate the impact on the bottom line. Realistically, there maybe a little bit of impact but it should be a major impact on gross margin.
Bill Loomis: Okay, and then just to be clear on pass-throughs, are you also putting some contractors that are working for you in that, in the pass-through definition.
James Morgan: Yes, yes it’s a combination of subcontractors and larger ODCs [ph].
Bill Loomis: Okay, great. Thanks.
James Morgan: Yes.
Operator: And thank you. We have no further questions at this time. I will now turn the call over to management for closing remarks.
Sudhakar Kesavan: Thank you very much for participating in today’s call. We look forward to seeing you in September on the 20 in New York City and keeping you up-to-date on our progress. Thank you very much again.
Operator: And thank you, ladies and gentlemen. This concludes today’s conference. We thank you for participating. You may now disconnect.